Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today’s Conference Call to discuss LifeVantage’s Fourth Quarter and Full Year Fiscal 2020 Financial Results. At this time, all participants are in a listen-only mode. [Operator Instructions] Hosting today’s conference call will be Scott Van Winkle with ICR. As a reminder, today’s call is being recorded. And now I would like to turn the conference over to Mr. Van Winkle. Please go ahead, sir.
Scott Van Winkle: Thank you. Good afternoon and welcome to LifeVantage Corporation’s conference call to discuss results for the fourth quarter and fiscal year 2020. On the call today from LifeVantage with prepared remarks are Darren Jensen, Chief Executive Officer and Steve Fife, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage’s website at www.lifevantage.com. This call is being webcast and a replay will be available on the company’s website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore undue reliance should not be placed upon them. These statements are based on current expectations of the company’s management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage’s most recently filed Forms 10-K and 10-Q. Please note that during today’s call, we will discuss non-GAAP financial measures including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency in the LifeVantage’s ongoing results of operations, particularly when comparing underlying operating results from period to period. We have included a reconciliation of these non-GAAP measures with today’s release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, August 18, 2020. LifeVantage assumes no obligation to update any forward-looking projection that maybe made in today’s release or call. Now, I will turn the call over to the company’s CEO, Darren Jensen.
Darren Jensen: Thank you, Scott and good afternoon everyone. I hope you are all doing well and are staying safe and healthy during this unprecedented time. During fiscal 2020, we faced ever changing challenges resulting from the COVID-19 global pandemic, but we are very pleased with how we have remained nimble and have adapted quickly finishing the year with record full year revenue. We generated healthy growth for both the fourth quarter and the full fiscal year growing revenue and EBITDA of 5.7% and 6.7% respectively on a year-over-year basis and 3.1% and 31.3% respectively for the full fiscal year. We ended fiscal 2020 with robust growth in the number of active independent distributors in both the Americas and Asia-Pacific and Europe regions, and new enrollments have consistently improved throughout the calendar year. The increase in distributors is a testament to the strength of our entrepreneurial business model, our proprietary product offering and the investments we have been making in technology and digital tools. More people are turning to alternative ways to make or supplement their income during this time of financial uncertainty and our business model is ideally suited for this environment. Our focus on nutrigenomics is also resonating in a time when consumers around the world are increasingly focused on their health. Our distributors are leading with these messages through their social media and leveraging technology and digital tools, which is driving rising consumer interest. I am very pleased with our entire organization’s ability to quickly adapt to the environment presented by the COVID-19 pandemic. While the effects of the pandemic initially dragged our results during the third quarter and early in the fourth quarter, growth recovered as the quarter progressed and we finished strong. Our employees continue to work effectively in a work-from-home model. Our distributors are successfully utilizing technology and social media to grow their businesses. Our supply chain remains secure and our third-party suppliers are ensuring a steady supply of products. During the fourth quarter, we proactively invested in promotions and incentives to drive distributor growth in part by redirecting some of our expense savings from travel and local events, which had to be put on hold. Our utilization of a free start kit promotion, a $50 value for new distributors, was a driver during the month of April, supporting enhanced enrollment activities and growth. This promotion was then followed by our Flip the Switch program in May and June, which further accelerated our enrollments and revenue through the quarter. We were also successful with our Red Carpet program, which is focused on attracting experienced direct selling professionals to build with LifeVantage. In addition to supporting our supply chain and our valued customers and distributors, our focus quickly turned to the importance of the tools and the technology that connect them. Before the pandemic, we have recruited and created a new digital technology development team to continue the growth of our mobile app and advanced our digital infrastructure. As soon as the pandemic hit, that team started rethinking how we use this technology and their efforts, along with the efforts of our entire digital marketing team, have accelerated adoption and created new ways of thinking about our strategic technology roadmap that will be transformational for our business long after the current pandemic. Our business model, where 70% of our sales are on subscription, provides reoccurring revenue and limits volatility during times of external disruption as we have seen over the past several months. We saw continued revenue growth in both of our geographical regions during the fourth quarter and fiscal year, with particular strength in Taiwan, Australia, and New Zealand and continued growth in Japan despite the external challenges in this market to direct selling given social distancing requirements and the limitations on cyber recruiting. As we look forward toward fiscal 2021, while the current environment provides uncertainty, we are confident in our ability to adapt and drive the business forward. We are effectively operating virtually and remain focused on the key metrics that drive our business, including enrollments, attrition, average revenue per account, and net promoter score. We are anticipating further investments in our technology, tools and promotions that will build upon our digital foundation in support of these key metrics as we propel the company into the future. We plan to continue to drive our long-term growth through the expansion of our global footprint and further new product innovation. We anticipate new market entrances and new product launches during fiscal 2021. We expect to launch in Singapore and Malaysia this coming year and to make additional new market announcements as the year progresses. Finally, I want to thank each and every one of our LifeVantage team members for their continued focus and commitment to our company during these difficult times, delivering the products that our customers depend on. We are confident in our business model, the adaptability of our employees and the passion and commitment of our distributor base to continue to not only survive, but thrive during these uncertain times. With that, let me turn it over to Steve to run through the financial results. Steve?
Steve Fife: Thank you, Darren and good afternoon everyone. Let me walk you through our fourth quarter results. We are proud to report another solid quarter, achieving our second highest quarterly revenue with record EBITDA during the period. As Darren discussed, we are well-positioned in this ever changing environment, which is highlighting the strength of our business model. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliation in today’s press release for additional details. Fourth quarter revenue was $59.4 million, up 5.7% on a year-over-year basis. Revenue in the Americas grew 5.9% to $41.7 million, while revenue in Asia-Pacific and Europe increased 5.1% to $17.7 million both year-over-year. Growth in the Asia-Pacific and Europe region reflected a 2.2% increase in the number of active accounts, with strong performance in Taiwan, Australia, and New Zealand. We were encouraged by continued positive growth in Japan despite local regulations, which prohibit cyber and social media recruitment. Additionally, it is worth noting that while growth in Europe was flat, it is holding its own as their market shutdown very quickly in response to COVID-19. The growth in the Americas reflected strong performance in the U.S. and the continued positive response to the launch of our Protandim NAD Synergizer and Protandim Tri-Synergizer bundle. These launches along with our price change completed during the third quarter contributed to increased average revenue per account. Gross margin was 84.1% compared to 82.7% for the prior-year period. The increase in gross margin was driven by the benefit from our price change and lower inventory obsolescence and handling costs, partially offset by changes to our geographic and product sales mix. Gross margins continue to be in line with our long-term target. Commissions and incentive expenses as a percent of revenue increased 335 basis points year-over-year to 48.7%. The year-over-year increase is due to the investments in promotional programs and incentives Darren discussed, as well as increased investments in our red carpet program. As a reminder, the commissions and incentive expense rate will fluctuate quarter to quarter based upon the timing and magnitude of promotions and incentive program, as well as the inherent fluctuation in red carpet expenditures. Adjusted SG&A as a percent of revenue was 24.1% compared to 27.1% for the prior-year period. The decrease in SG&A expense as a percent of revenue primarily reflects decreases in employee compensation-related expenses including both cash and stock incentive compensation, as well as decreased event expenses as a result of changes in cancellation of the events due to COVID-19. This was partially offset by increased depreciation expense associated with our investment in new technology assets that have been placed on service and increased credit card processing fees due to increased revenues during the year. Adjusted operating income was $6.7 million or 11.3% of revenue compared with $5.8 million or 10.3% of revenue in the prior-year period. Adjusted net income was $4.1 million or $0.28 per fully diluted share compared to $4.0 million or $0.26 per fully diluted share in the prior year. The increase in adjusted net income was negatively impacted by a higher tax rate during the current period, with increase to 37.2% from 28.9% from the prior-year period. We expect that our tax rate will be approximately 30% for the full fiscal year 2021, and our quarter-to-quarter fluctuations should moderate relative to the prior years, although there will still be some quarterly fluctuation. Our anticipated 30% tax rate for fiscal 2021 represents an 8-point increase from our fiscal 2020 tax rate due to increased pre-tax income and reduced benefits from equity vesting during 2021. Adjusted EBITDA for the fourth quarter increased 6.7% to a record $8.2 million compared to $7.7 million in the prior-year period. Please note that all of the adjustments from GAAP to non-GAAP I discuss today are reconciled in our earnings press release issued this afternoon. We ended the fourth quarter in a strong financial position with $22.1 million of cash and no debt as we repaid the balance of our term loan during the third quarter. In addition, we continue to maintain $5 million of availability under our revolving line of credits. We used $5.4 million of cash during fiscal 2020 to repurchase approximately 387,000 shares of common stock under our share repurchase authorization. As of June 30, there remains $3.4 million available under the company’s $15 million share repurchase authorization plan. We anticipate to be active with our share repurchase efforts. We invested $2.7 million in capital expenditure during fiscal 2020 and anticipate CapEx of approximately $3 million in fiscal 2021, which will be primarily spent on building out new office space in Lehi, Utah. We anticipate occupying our new office in January of 2021, which we have configured to better support our employees and distributors incorporating our work-from-home learnings from over the last 6 months and provide a meeting space to support our business development and branding effort. In addition, we are investing in further development of technologies and digital tools. Turning to our fiscal 2021 outlook, we expect to generate revenue in the range of $240 million to $251 million, and adjusted non-GAAP EBITDA in the range of $25 million to $27 million, with adjusted non-GAAP earnings per share in the range of $0.87 to $0.91. On a year-over-year basis, the anticipated increase in our effective tax rate from 22% to 30% has $0.11 negative impact on our year-over-year earnings-per-share growth. Given the fluctuation in the company’s tax rate, we continue to believe adjusted non-GAAP EBITDA is a better indicator of the company’s results from operation. Now let me turn the call back to the operator to facilitate questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Doug Lane with Lane Research. Please proceed with your question.
Doug Lane: Yes. Hi, good afternoon, everybody. Steve, on the tax rate, the big jump from 22% to 30%, is that going to be an increase in your cash tax rate, or is that a non-cash increase?
Steve Fife: It will be an increase in cash, Doug.
Doug Lane: Okay, thank you. And Darren, could you talk about the cadence of the sales growth in the second quarter? It seems to me it started out weak in April and ended up stronger, but can you give us some sort of magnitude of how the quarter progressed from April through June?
Darren Jensen: Thank you, Doug, for the question. It’s good to hear from you. Each month – when you look at it in terms enrollments or even in terms of revenue, each month was progressively stronger. So even starting from January, so the full calendar year that we are looking at from January on, it’s almost as if each month strengthened as we went. So June was an exceptionally good month for us, which is the last month of the fiscal year, so increasing each month.
Doug Lane: And has that carried over into the third quarter so far? Without getting into too specifics, but just directionally, is that strength that you have seen in June continued into the third quarter – into the first quarter of fiscal ‘21?
Darren Jensen: I don’t know that we are particularly commenting on our first quarter, but we – with us going into July, it’s a summer month, it’s typically one of our seasonally softer months for us. So I don’t know that I would base anything particularly just on July month. There is a lot of excitement within our sales.
Doug Lane: No, it’s fair enough, Darren. I am just – it’s just that it’s such an unusual environment. And just looking at the sales number, which is a good number, in the June quarter, you are really projecting more of the same for 2021. But my sense is you are coming out of the June quarter with more strength than that. And then I also factor in your distributor growth, which was the biggest distributor number that I have in my model for a while. So, you seem to be getting pretty good traction on your leadership as well. So, I just want to see if there’s something a little bit more going on here and how sustainable you think these positive trends are.
Darren Jensen: Well, I think from the guidance that we just gave, it would indicate that we are – as you mentioned, it seems fairly consistent with what we just reported. So, we are pretty confident in our ability to deliver the guidance we just gave. And barring major curve balls that COVID may throw at us, we feel confident in our plan.
Doug Lane: Okay.
Steve Fife: Of course.
Doug Lane: Okay. Sorry, go ahead, Steve.
Steve Fife: Yes, no, I was just going to add that at the beginning of the whole pandemic thing, we clearly kind of saw a shift where people became much more interested in the business opportunity than they were – in our products per se, what was attractive to them was the model. And so I think that’s really – we took advantage of that interest. We had a few very successful promotions during Q4, and we saw the growth in the distributor base which candidly we think it’s going to bode well for us as we look to the future as those distributors just start to get up to speed and start bringing in new customer wins. And so we’re excited about the enrollment that we saw from that distributor growth, and we’re cautiously optimistic that it will convert to customer growth in the future.
Doug Lane: No, that’s good color. I was anticipating my next question on the income opportunity versus your product portfolio, offering your nutrition products here during a global health crisis, and then you also have the income opportunity as well. So, it sounds like your approach is balanced between the two. Is that fair?
Darren Jensen: So with that, Doug – this is Darren. It really depends on how our – on really what the customers are looking for when they are being approached by our distributors. Traditionally or historically, we have always led with a product message. I think as a company, we are – we have always been a very strong products company. What we did notice in late in the third quarter and in the fourth quarter, shifting between the – shifting in the messaging within our still [ph] just based on customer demand. And you saw more of a skew in people being interested in the business side of it and I think that’s just because of the economy and the challenges that we are having there. And recently, we are starting to see that moderate more back toward product. So I think just depending on the circumstances of the day and where people’s minds are, it’s shifting between business and product, but historically we have always been product, and I would imagine that we will probably move back over to that here over time.
Doug Lane: Okay. Thanks, Darren.
Darren Jensen: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Jim Galloway, Private Investor. Please proceed with your question.
Unidentified Analyst: Congratulations on your results. I am impressed with how you have handled the pandemic so far.
Darren Jensen: Thanks, Jim.
Unidentified Analyst: I had hoped to see 100,000 customers in the Americas now, but we have lost 12,000. And I appreciate listening to your last discussion on product versus income and all. Is there a change in the demographics of the makeup of our customers and distributors age-wise? And is that one of the things that’s affecting how people are using the app and all? Just curious.
Darren Jensen: Yes. Well, thanks, Jim. It’s good to hear from you. I think as I look over the last year when it comes to the mix of people joining our company either as distributors or as customers, in our third quarter – actually in our second quarter, we had a short-term decline due to some of our social media driven activities as we were focusing on managing the consistency of the content that was being used online. And I’m glad that we took that time at the beginning to focus on that, because we didn’t realize it moving into that third and fourth quarter, it was going to become so important. So we knew that there would be some minor declines in our recruitment efforts during that time just due to those efforts to make it consistent in the message that was being given, and really we saw that bottom out – or that’s finished in January. And then since that time, we have seen all the numbers begin to come up when it comes to recruitment, so in third and fourth quarter for us. Due to COVID-19, I believe that there has been an impact on the mix of customers or the new customers and distributors that are coming in. Typically, we have seen much more of an interest for product and so we tend to bring in more customers, but I believe that due to sharply increasing unemployment rate, as I mentioned before with Doug, we saw a shift in the messaging just because of consumer demand. People were more interested in the business aspect of it. Now, I think, short term, that has an impact on the number of customers because people are focusing on kind of more of the business aspect of it, but as you know, distributors bring in a lot more customers. So as Steve had mentioned with Doug, we expect to see more of that expansion further on, or the impact of more distributors coming in, which will drive our customer numbers, including we are going to be announcing in our October Cyber Convention – we have moved at our Global Convention over to a Cyber Convention, we are going to be introducing a customer referral program and we believe that that will further support additional customers coming into our business.
Unidentified Analyst: That’s wonderful. I’ve been talking to you guys about a customer referral program and retention program for years. So that’s great. But there are so many youngsters out there right now that are out of collage and hope to have a career and they are not able to get one. And so are we focusing anything more on the youths, or is there a better opportunity, or a way to attract them into our business?
Darren Jensen: I believe that there is always ways of attracting, and I think that much of it is being driven by – like you were saying, by the events of the day, they are coming out of college looking for jobs and it’s a much tougher environment right now. So I think naturally, you’ll begin to see more younger people join our business. When I look at who is coming in, I really look at it from a product category. What we have seen is more of a shift towards our wellness products, or our Protandim, more of the ingestible products and a move away from our topically applied one. And it’s not a huge the number, but we are seeing that movement in that direction, and I believe that that’s just people being a little bit more interested in wellness. From a demographic standpoint, I think overall direct selling and this would hold true for LifeVantage, has been getting younger. I think that the younger generations are more open to kind of the gig economy to things like Uber, Grubhub, and picking up side gigs. So I think just the nature of the change in the economy, which has been accelerated I think by COVID. Now you have a lot of people at home, working from home cyberly, and the concept of running a side business or a business online is not a foreign concept anymore. So I think we will naturally see industry wide and I believe that that will apply to LifeVantage a skew to younger people also.
Unidentified Analyst: Keep up the good work. Thank you.
Darren Jensen: Thanks, Jim.
Steve Fife: Thanks, Jim.
Operator: This concludes our question-and-answer session. And I would like to turn the floor back over to Mr. Jensen for any closing remarks.
Darren Jensen: I want to thank you for joining us today. We are pleased with our results in fiscal 2020 and the hard work of our employees, our distributors and supply chain during these unprecedented times to ensure we are able to continue to deliver LifeVantage products to our customers who depend upon them. We hope you all stay safe and healthy, and look forward to updating you on our next call. Have a great day, everyone.
Operator: This concludes today’s teleconference. You may now disconnect your lines at this time. Thank you for your participation. Have a wonderful day.